Operator: Good afternoon, everyone, and welcome to the Singular Genomics Systems, Inc. First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Philip Taylor. 
Philip Taylor: Thank you, operator. Presenting today are Singular Genomics Founder, Chair and Chief Executive Officer, Drew Spaventa; and the company's Chief Financial Officer, Dalen Meeter. Earlier today, Singular Genomics released financial results for the 3 months ended March 31, 2024. A copy of the press release is available on the company's website.
 Before we begin, I would like to inform you that comments and responses to your questions during today's call reflect management's views as of today, Tuesday, May 14, 2024, only and will include forward-looking statements and opinion statements, including predictions, estimates, plans, expectations and other information related to our financial and operating results, plans and strategies. 
 Actual results may differ materially from those expressed or implied by these statements as a result of certain risks and uncertainties. These risks and uncertainties are more fully described in our press release issued earlier today and in our filings with the Securities and Exchange Commission, including our most recent Form 10-Q and 10-K filings and Form 8-K filed with today's press release. Our SEC filings can be found on our website or on the SEC's website. Investors are cautioned not to place undue reliance on forward-looking statements. We disclaim any obligation to update or revise these forward-looking statements. 
 Please note that this conference call will be available for audio replay on our website at investor.singulargenomics.com in the Presentations and Events section. 
 With that, I'll turn the call over to CEO, Drew Spaventa. 
Andrew Spaventa: Good afternoon, and welcome to Singular Genomics First Quarter 2024 Earnings Call. It was another productive quarter, and we look forward to updating you on the progress made across the business. We will focus our call on the following areas: one, a summary of the first quarter results; two, an update on the G4X and our spatial sequencing work; and three, focus areas for the rest of 2024. 
 Before we get into these topics, I'd like to share some color around our shift in focus to spatial and our growing excitement in the G4X spatial sequencer. It has been a short period of time since we unveiled the G4X at AGBT in February. In that short time, we have spoken with many dozens of spatial experts and customers. Two things have become clear. Spatial is quickly growing in many customer segments, and throughput is a major limitation. 
 The demand profile for a solution that addresses this pain point is strong and growing. We believe the G4X will be uniquely suited to address this pain point and has the potential to not just participate but to accelerate growth in spatial. The setup for the business side is also encouraging, meaning that we plan to pass along cost savings and address a pain point for customers while supporting a high-margin, sustainable business. 
 The last piece that excites us is around our novel use of sequencing in spatial. The capability to directly perform sequencing in single cells will produce a novel data type and has the potential to offer a set of features and capabilities that will enable new types of research in some of the fastest-growing areas that will potentially lead to better disease diagnosis, more personalized treatment, faster and more effective drug discovery and development and an overall better understanding of biology. 
 In addition to the exciting development work to get G4X to market, we are currently focused on supporting our G4 customers, the majority of which we expect to benefit from our move into spatial. 
 Now let's move into our first quarter results. We shipped 6 G4 instruments during the quarter and generated $0.4 million in revenue. Of these shipments, 4 were to academic core or medical center labs and 2 are commercial apps, bringing our total G4 shipments to 30 as of March 31. One of the most important focus areas for us during the quarter was to maintain our emphasis on supporting existing customers. Many of our existing customers will likely transition to spatial customers over time. We continue to see improvements in system utilization and consumables pull-through. 
 With the majority of systems in the field for several months now, we are starting to see an uptick in usage with our highest monthly tool for consumables orders and shipments in April. 
 Now let's turn to the G4X and our spatial sequencing work. As a reminder, the G4X is designed to offer novel capabilities and unprecedented throughput for spatial profiling of tissue. Its novel capabilities will include Direct-Seq, which is the sequencing of RNA in situ and has the potential to open new areas of scientific discovery. In addition, the G4X will offer readouts of targeted transcripts, targeted proteins and a florescent H&E state, all in the same tissue section. This combination of readout modalities will be offered at an unprecedented scale. 
 With 40 square centimeters of flexible imaging area and single-day turnaround times, the G4X system is designed to enable labs to process 20x more samples per week than existing technologies. As previously announced, we shifted our internal work to focus more heavily on spatial sequencing and multiomics and to bring the G4X spatial sequencer to market. Our team has been heads down to implement this shift and is making excellent progress. 
 In R&D, we are advancing work on instrument and method development, expanding the types of tissue tested and improving protocol performance for combined readout modalities. At the American Association for Cancer Research Conference in San Diego, our Co-Founder and CSO, Eli Glezer, hosted a talk covering some of the latest internal developments and progress with early collaborators. 
 This included new G4X data sets that highlighted performance in human kidney, console, lung, lymph node, breast and colon FFPE samples. In addition, we presented data from 2 of our initial technology access partner projects, Dana-Farber Cancer Institute and the Broad Institute. At Dana-Farber, we worked with Dr. Catherine Wu to perform an analysis on the G4X for 35 bone marrow biopsy sections. The G4X was able to provide high-quality transcript, protein and florescent H&E data from bone marrow FFPE samples, typically a very difficult tissue type. 
 In addition, the sections were processed in a single run, allowing the researchers to envision larger scale studies that have not previously been possible. 
 At the Broad Institute, we worked with Dr. Paul Blainey to perform in-situ sequencing of CRISPR guide RNA plus proteins and H&E imaging. This project showcased the G4X' ability to perform direct sequencing of variable regions applicable to CRISPR-based gene editing screens, an exciting and growing area of translational research. 
 In addition to these initial partners, we have expanded our TAP and research collaboration work with the initiation of several new projects and partners. We are seeing strong inbound interest from leading academics, researchers and biopharma with a growing list of potential TAP projects. We look forward to sharing more details and data on these projects in the future. 
 Our commercial team has been actively building a funnel of opportunities through our presence at conferences and industry gatherings, targeted KOL institution outreach and discussions with existing G4 customers that are interested in upgrading to spatial capabilities of the G4X. 
 At the recently held ABRF conference in Minneapolis, we had an opportunity to meet with current and prospective academic Core Lab customers. We hosted several talks, presenting on the latest updates on the G4 sequencing platform and our planned advances in spatial sequencing with the G4X. Feedback from existing customer during this meeting was strong with positive testimonial shared across multiple core lab director panels as they describe their lab sequencing experience with the G4. 
 We hosted a well-attended customer event which included existing customers and collaborators and scientific leaders in multiomics. The event provided an opportunity to develop relationships and discuss opportunities for working together to bring the G4X forward to advance their research. We are encouraged by the feedback from early collaborators and the level of interest from potential users coming out of these conferences and customer discussions. 
 We are already seeing a strong pipeline of new customer opportunities for the G4X across the academic core and medical center labs, biopharma and CROs. In addition, we have early traction in the funnel of near-term service projects as part of the G4X Technology Access Services program that launched in the second quarter with interest from dozens of institutions. 
 Turning to our focus areas for the rest of 2024. Our internal focus is centered around developing the G4X platform and optimizing the spatial sequencing methods and protocols. Initially available as a service will be our [ B1 ] immuno-oncology panel with 300 genes, 12 proteins and the ability to customize content. In addition, we continue to advance our TAP projects and research collaborations on new and innovative methods such as Direct-Seq for exciting areas of research like early cancer detection, immune profiling, and CRISPR editing. 
 We launched the G4X Technology Access services early in the second quarter, and we intend to expand this capability in the coming months to support the inbound project interest received to date. We expect the ramp of service projects to be an important milestone in the second half of the year, enabling technical publications, producing KOL testimonials around the technology and value proposition and generating commercial demand for G4X instruments. 
 Lastly, we are preparing for the G4X early access program where a select number of customers will get early access to the G4X with the G4X system or an upgrade to their existing G4. The intent of early access to both learn and incorporate feedback for broader commercial launch as well as to generate interest and demand through third-party operation of the G4X. 
 Now I'll turn the call over to Dalen to go through the details of our first quarter financial results. 
Dalen Meeter: Thank you, Drew. Revenue for the first quarter of 2024 was approximately $0.4 million, predominantly made up of $0.2 million from revenue recognized on one capital purchase instrument placement during the quarter and consumable sales of $0.2 million. We expect revenue from the other 5 instrument shipments to be generated over time as our customers purchase consumables for these instruments.
 Gross profit was negative $0.4 million in the first quarter of 2024 compared to $0.1 million in the first quarter of 2023. Our gross margin was negative due to initial discounts on capital purchases, our use of the reagent rental and other noncapital purchase models and higher costs associated with the support of system placements. 
 Operating expenses in the first quarter of 2024 totaled $26.4 million compared to $25.4 million in the first quarter of 2023. These totals included noncash stock-based compensation expense of $2.9 million in Q1 2024 and $3.1 million in Q1 2023. The year-over-year increase was primarily driven by severance costs incurred in the first quarter. 
 Net loss in the first quarter of 2024 was $25 million or $0.34 per share compared to $23.6 million or $0.33 per share in the first quarter of 2023. The weighted average share count for the first quarter of 2024 used to calculate net loss per share was approximately $73.9 million. And in cash, cash equivalents and short-term investments, excluding restricted cash, totaled $150.7 million. 
 Cash burn for the first quarter was approximately $23.2 million, which was sequentially higher than the previous quarter driven by the timing of certain compensation and benefits payments, severance payments and other working capital items. We expect our cash burn in the second quarter to be lower sequentially as we start to realize the full quarter impact from the cost savings measures we implemented in March. Back to you, Drew. 
Andrew Spaventa: Thanks, Dalen. In closing, I'd like to reiterate our conviction of the G4X opportunity. Singular is uniquely positioned to leverage our sequencing technology in spatial to offer a compelling solution to G4X that addresses unmet needs in an exciting and growing market. We have a strong understanding of our capabilities and are confident in our ability to deliver this impactful product.
 While there is still work to be done to realize this opportunity, we believe we have the right team and sufficient runway to see this product to market. 
 Now let's open it up for questions, operator. 
Operator: [Operator Instructions] And the first question today is coming from Matt Sykes from Goldman Sachs. 
Matthew Sykes: Maybe, Drew, just to start, you -- I think in the press release, you mentioned you need to add some capabilities to G4X in order for it to be ready for 2025 launch. What areas are you focused on for G4X to add to those capabilities? What do you need to do prior to launch, you believe, outside of getting feedback from customers and the early access program, just wondering what are the kind of features you're looking at. 
Andrew Spaventa: Matt, thanks for the question. Really appreciate it. So where we are right now, we're running services, starting to solicit early services and running TAP projects as a service. And currently, the services are 150 genes, a dozen or so proteins in the fluorescent H&E and then we also have a few Direct-Seq service projects we're working on. 
 In order to get what we're doing right now as a service into a product where we can kit it and sell the box and the kits, there's just a fair amount of your traditional product development work where you're essentially hardening and optimizing everything. Some of it has to do with the bioinformatics pipeline. Some of it has to do with testing kind of the revised software. As you recall, it's the exact same box just different kits. And then there's work around understanding and hardening and getting the protocols dialed in across different tissue types. 
 And then the one piece of expansion that we're doing right now, we're offering 150 genes. We're moving that to 300 genes very quickly. And that's the spec for the Q1 product. So it's getting from 150 to 300. So the short answer to your question is really productizing it and getting it to a point where we can ship kits and have a very predictable user experience. 
Matthew Sykes: Got it. That's very helpful. And then just how are you balancing -- you've got 30 G4s shipped today. And so I'm assuming a good portion of that are up and running. How are you balancing the support services needed for the existing installed base while at the same time, you're ramping up G4X and that's your primary focus. But you still need to support those customers and those take resources. Those customers could become G4X customers in the future. 
 So how do you think about spending the resources on supporting the G4s currently in the market versus sort of your cash burn targets and what you want to achieve for G4X launch? 
Andrew Spaventa: Yes. It's another good question. Fortunately, having just 30 systems out there that are all in the U.S. from a support standpoint, geographically, is manageable. The other thing is the current 30 systems, they're running really well at this point. We've done a series of upgrades. 
 Obviously, we've had some time now to harden the systems, but the uptime across the network for the last few months has been really strong in the mid-90%. So we're not seeing nearly the level of field service calls that we once were. And we're able to support them pretty minimally from an FAS FSC standpoint now. They're kind of all up and running and working pretty well. 
 That being said, we do know and understand that every resource is critical. About half of the existing customers, and maybe even more, we think, will transition to G4X. So maintaining those FSCs and that support infrastructure is pretty important so that we keep the current customers happy, but we also start to train them for kind of expanded skill sets to support the spatial kits that are coming. 
 So we've thought a lot about it. We're trying to stay as lean as we possibly can. This is one area where it's not a huge number of headcount to support the existing instruments given the stability of the network at this point. And it's also very in line with upgrades of existing customers and expanding the capabilities in G4X. 
Matthew Sykes: Got it. And if I could squeeze one more in for you, Dalen. Just I know you mentioned the burn in the quarter of $23.2 million. You expect it to be lower in Q2 because of the cost savings will start kicking in. How should we be thinking about cash burn over the course of the full year '24 and sort of the cadence of that as we move through the year? 
Dalen Meeter: Matt, yes, you're right. The burn in Q1, it was a little bit higher as we paid out some of the year-end accruals as well as some of the severance associated with the reduction that we previously talked about that was implemented in March. 
 The savings that we talked about on the last call, we expected those to kind of ramp through the course of the year with the bulk of the headcount savings kind of being realized March forward. I would expect Q2 operating expenses to be lower sequentially, probably in the range of kind of 10% to 15%. And then start to reduce a little bit in the second half from there as well. But that's kind of how we're looking at the rest of the year from an expense perspective. 
Operator: Your next question is coming from Dan Brennan from TD Cowen. 
Daniel Brennan: Maybe just first one. Can you just update us on kind of the funnel, the TAP program? Just give us a sense, say, from the last time you updated us at the quarter to today, maybe how that's changed? 
Andrew Spaventa: Yes. Happy to, Dan. Thanks for the question. So there's 2 funnels that we're kind of starting to track. One is the services funnel. There's quite a deep funnel on the services. We divide them into 3 different segments. There's the academic and core segment. There's a biopharma segment and then there's a CRO segment.
 The funnel is deep enough where I don't even have a specific number for you. I remember what we said last time, I don't know if 25, 27 projects, somewhere in there. But we're into a point where each one of those verticals in the funnel is pretty deep. And we're trying to prioritize the service projects based on minimizing customization. So we offer a standard. Very soon, it will be a 300 gene immuno-oncology panel with 12 proteins. We're trying to find as many service projects that fit within that panel without customization. 
 And there's, again, a really deep kind of group of people and each one of those that are, to a point, where they've actually submitted a project request form. We're scoping the project. We're looking at tissue type, panel design and all those types of things. 
 Separately, we still have a funnel for the G4X. It was the G4 and now it's the G4X funnel, and we're largely prioritizing that funnel with early access customers that have an appetite to kind of work through the early placement and operation of the system with us. And we have well over a dozen people that are interested in the early access, and we're going to choose based on, again, the criteria of volume of samples expected, how much customization will or won't be needed. 
 And then there's also likely a number of existing customers that want an upgrade in early access, and that's an easy way for us to wait into early access since there's already an existing relationship and familiarity with the customer in the system. So a lot of tracking and a lot of work to be done, but very encouraging. 
Daniel Brennan: So assuming what you discussed with Matt in terms of some of the progress you guys need to make commercially to be prepared, like is it still -- can you just remind us specifically like when you guys would look to be launching commercially? Is it just -- kind of when in '25, would that occur? 
Andrew Spaventa: Yes. So the way we're thinking about it right now, early access will be revenue-producing units. There'll be more support, and we'll kind of set expectations with those customers appropriately. And depending on how those first few units go in Q4 this year, towards the end of Q4, it will probably be a learning for us on how quickly we can pull more broader commercialization.
 Right now, we're planning more broadly, commercialization would happen kind of in and around Q2 of next year. But if the demand continues to pull and people want to take an early access version of the box, we may be able to essentially extend early access and do quite a bit more maybe earlier in the year. And a lot of that learning is going to happen over the next to 6 to 9 months as we start to get services up and running and we get these few early access placements up. 
 So it will largely be customer-driven. I think what's very unique about this is the pool is a little bit different. We're not providing something that's an alternative sequencer where there's incremental benefit. We're providing something here that I think in the eyes of the customer is pretty unique and valuable given kind of the lack of high throughput spatial offerings right now. And it's very clear to us that there is a lot of demand in spatial, people want to run more samples. And I think that's going to translate to kind of a stronger willingness to take something that's a little bit earlier. But where that lands, we'll have to gauge it as we go. 
Daniel Brennan: And then maybe just -- maybe a couple of quick ones. Any sense on when you have or customers or when do you think you have the first publications out in the market either on a standalone or kind of maybe comparing the interest in the performance of your G4X versus some of the other players? 
Andrew Spaventa: Yes. I think we want to get to our commercial panel. And like I said, we're still in the process of getting from 150 to the 300 gene panel. I think we'll have that up and running as a service probably by the end of this quarter into Q3. And a lot of the service projects that we're engaging with, we expect those to result in publications as there -- a lot of them are academics. 
 So I think we'll start to see publications later this year on the platform. And again, the intent would be to get that -- those publications and really start to work with people once we get the 300 gene panel up and running, which is pretty imminent. 
Daniel Brennan: And maybe last one just on -- Illumina has made overtures about looking to enter spatial in some way, shape or form. Unclear kind of when and how that would occur. But just can you just remind us maybe what it is about the G4 chemistry that allows you to kind of have this kind of performance? And just how do you think about the ability for this platform to remain differentiated as potential new interest come in? 
Andrew Spaventa: Yes. I think it's -- people want one thing. It can't really be reduced to that. The reason we're able to run and offer kind of the scale and speed on spatial really comes down to the foundation of spatial work and applying sequencing as a readout for spatial. And that work started back in 2019 originally on the PX. And there's quite a few things that go into it. 
 A few of the things that I think we were fortuitous for us have really enabled us to offer what we know will be very unique. One of those things is the nature of our chemistry. It's SBS chemistry. It's very low concentration. It works very well in tissue. It's not very sticky. It's very fast. And we've developed it over the last now going on 5 years to work really well in tissue. It's been optimized to do that. That's part of the work that's been done. 
 And on the instrument side, we design an instrument that has speed and flexibility. And there's a lot of innovation behind the instrument, being able to offer a really large imaging area across 4 flow cells, being able to image in 4 colors, being able to also image in a Z stack and doing so very fast. That all works really well with the chemistry in a spatial context. And those multiple things and really just working on key method development, applying SBS chemistry to spatial, all those things together have allowed us to offer something that's unique. 
 It's not one thing. There's deep barriers. There's also a tremendous amount of IP that we filed on the use and application of sequencing as a modality in spatial. So I think we feel pretty good about the product profile from a technology standpoint and an IP standpoint. And not that there won't be others that move in at that point in time, but it's a pretty unique offering at this point. We feel confident in it. 
Operator: This does conclude today's question-and-answer session as well as today's conference call and webcast. We do thank you for your participation. You may disconnect at this time, and have a wonderful day. And once again, thank you for your participation.